Operator: Good morning. My name is Angus [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to Keyera Corp's Second Quarter 2021 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Dan Cuthbertson. You may begin.
Dan Cuthbertson: Thank you and good morning. Joining me today will be Dean Setoguchi, President and CEO; Eileen Marikar, Senior Vice President and CFO; Jamie Urquhart, Senior Vice President and Chief Commercial Officer; Bradley Lock, Senior Vice President and Chief Operating Officer; and Jarrod Beztilny, incoming Senior Vice President, Operations and Engineering. We'll begin with some prepared remarks, after which we will open the call for your questions. I'd like to remind listeners that some of the comments and answers that we will provide, speak to future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects. In addition, we will refer to some non-GAAP financial measures. For additional information on non-GAAP measures and forward-looking statements refer to Keyera's public filings available on SEDAR and on our website. With that, I'll turn the call over to Dean.
Dean Setoguchi: Thanks Dan and good morning everyone. We've had a great first half of 2021 with strong performance in all three base business segments. Recovering commodity prices, along with the actions we've been taking to drive further efficiencies are delivering excellent results. In our Gathering and Processing segment, we've been focused on driving higher margins by utilizing available capacity. Volumes are up over 10% year-to-date, including about 25% growth in our north region, and that's led to record quarterly margin contribution from this segment. Of note, the Pipestone plant operated at a high utilization in June, well ahead of our original expectations. In mid-2022, we look forward to welcoming an additional producer which contracted out the remainder of the plant, under a long-term take-or-pay agreement. In our South region, we're also seeing an increase in drilling activity in our capture areas as properties change hands to stronger, better capitalized producers. Our liquids infrastructure segment continued to see high demand for its services. Deliveries from our condensate systems remains strong as oil sands production continue to ramp up. Although we had some planned maintenance at our Fort Saskatchewan complex, our fractionation assets remained highly utilized as did our storage facilities. The liquids infrastructure segment generates returns that are amongst the highest in our portfolio with high barriers to entry and stable long-term cash flows. We'll continue to direct most of our future growth capital to this business segment, which includes the KAPS pipeline project currently under construction. The marketing segment continued to add significant value, enhancing overall corporate returns. Here we leveraged our infrastructure assets and logistics expertise connect customers to the highest value markets. Due to improving commodity fundamentals and our disciplined risk management program, we now expect to come in at the upper end of our marketing guidance of $260 million, $290 million for 2021. Turning to our company's leadership. And here, I'd like to inject a note of pride in Keyera's bench stream and succession planning, which allows for few smooth transitions. On November 1st, 2021, Bradley Lock, Senior Vice President and Chief Operating Officer, will retire from Keyera. Brad has been with us for 17 years in various senior executive roles. We thank you, Brad, and wish you well in retirement. Succeeding Brad will be Jarrod Beztilny, who's been appointed Senior Vice President, Operations and Engineering. Jarrod is currently Vice President of Operations for the Gathering and Processing business unit and has been with Keyera since 2004. Our aim is to deliver superior shareholder returns over the long-term and we will do this by focusing on capital discipline, increasing the competitiveness of our assets, strengthening our integrated value chain and demonstrating leadership in ESG performance. Overall, we're pleased by our results year-to-date and encouraged to see an increase in activity in the basin. I'll now turn it over to Eileen to provide an update on our Q2 financial results.
Eileen Marikar: Thanks Dean. Adjusted EBITDA for the quarter was $224 million. This reflects a 23% increase over the same period last year. This result includes the impact of a $20 million noncash accrual for long-term compensation. Distributable cash flow was $148 million compared to $158 million in the same period last year. The decrease was mainly driven by higher maintenance capital spending in the quarter. Net earnings were $79 million. The Gathering and Processing segment delivered a record margin of $86 million as we reached new throughput highs, at both the Wapiti and Pipestone Gas Plant. We delivered $96 million of realized margins in our liquids infrastructure business. This result includes the impact of a planned maintenance outage at our -- at Keyera's Fort Saskatchewan Complex. And our marketing segment delivered a realized margin of $78 million. We continue to apply a disciplined risk management approach to lock in our -- cash flow. This approach is especially important in the context of funding our KAPS pipeline project. Couple of notes in respect to guidance. We now expect our realized margins from marketing segment to come in near the upper end of our guidance range. Second, as a result of strong performance so far this year and our expectations for the balance of the year, we now expect cash taxes for the year to increase to the $30 million to $40 million range. We exited the quarter in a strong financial position. Net debt to adjusted EBITDA was 2.7 times. This is well within our conservative target range of two and a half times to three times. The company has $1.5 billion in available liquidity with minimal near-term debt. I'll now turn it over to Jamie to provide an update on our commercial activities.
Jamie Urquhart: Thanks Eileen and good morning everyone. We remain constructive on the pricing environment for the commodities we move through our systems. For natural gas, LNG off the West Coast of Canada and major pipeline expansions will enable more exports to key growth markets supporting a continued strong pricing environment for natural gas. Our outlook for propane pricing remains strong with low levels of inventories throughout North America currently and the potential for strong demand in the fall. Our assets give us the ability to store product during low demand seasons so we can maximize margins by selling in the higher demand fall and winter seasons. We were able to lock an attractive butane supply costs for the 2021 contracting season, supporting the value of our iso-octane and blending businesses. Overall, strength in crude prices and RBOB supports increased value for iso-octane and condensate business. And finally, condensate demand continues to climb as our oil sands customers grow into expanding oil pipeline export capacity. The current pricing environment and renewed optimism has incented many producers to increase drilling activity throughout the basin, pushing up volumes across our integrated value chain. I'll now turn it over to Brad to provide an update on the KAPS project and speak to our operational highlights. 
Bradley Lock: Thanks Jamie. I'm pleased to share that we have moved into the execution phase on the KAPS pipeline project with construction officially underway. In Q2, we successfully completed our first horizontal directional drill for the first river crossing of this project. A key part of our execution strategy is to complete the more challenging sections of construction early. It's a great first step to get this river crossing completed. Cost for the project, including steel and labor, are under contract with inflation protections in place. Costs remain on track and the pipeline is expected to begin operations in early 2023. At the Wildhorse crude oil and blending terminal in Cushing, Oklahoma, we are fully operational, having completed commissioning in July. The new terminal includes 12 above-ground tanks with 4.5 million barrels of working storage capacity. It connects by pipeline to two existing storage terminals in Cushing. This business will be ramping up through the remainder of the year and into 2022. Turning now to the authorization program in our G&P segment, we safely completed turnarounds at the Zeta Creek and Brazeau River gas plants in the second quarter. These were completed on time and on budget. Because of our integrated network of plants, we were able to redirect volumes to our other facilities, minimizing any impact to our customers and overall volumes. As part of our planned optimization program, we successfully shut down the Brazeau River North gas plant in July, and we'll be shutting down the [indiscernible] facility in the coming months. We expect to realize the full benefits of the optimization program on completion in 2022. In July, we completed some work at the Wapiti gas plant. The facility was taken offline for about 10 days to install a new waste heat recovery unit and perform other minor maintenance work. This planned outage was completed on time and on budget and will support the future reliability of this facility. With that, I'll hand it over to Dean for some closing comments.
Dean Setoguchi: Thanks, Brad. Keyera's value proposition continues to be the delivery of sustainable and growing dividends. That proposition is underpinned by low debt leverage and investments in projects that generate strong returns, which contribute to expanding distributable cash flow per share. Looking ahead, Keyera will continue to be focused on being a safe, reliable and sustainable operator, dedicated to serving our customers and generating value for our shareholders. We're excited about the future, and we're confident we have the culture, people, and assets to deliver results. On behalf of Keyera's Board of Directors and our management team, I thank you for your continued support. With that, I'll turn it back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Matt Taylor with Tudor, Pickering. Matt, go ahead.
Matt Taylor: Yes. Thanks for taking my questions guys. If I could just start at AEF, I wanted you to talk about some of the opportunities you're seeing that are possible for that facility to take advantage of the clean fuel standards that could come next year. I know you've talked about it briefly in the past. I'm wondering if you're looking at having to spend CapEx or other opportunities now that we're getting closer to when it might come?
Jamie Urquhart: So, Matt thanks for the question. Yes, we definitely see some opportunities. And the majority of them are really around the emissions intensity, optimization opportunities, the potential for bio-feeds into that facilities will ultimately create a bio iso-octane. Nothing to report as of yet, but we're certainly dedicating resources to it and are optimistic that we'll be able to show some meaningful benefit to our shareholders in the future.
Matt Taylor: Yes. Thanks for that Jamie. Would you say it's still fairly early stages? Or are you starting to move in to thinking about project, types of projects, size of projects?
Jamie Urquhart: Yes, I would say it's early stages with respect to us being able to announce a project, but we're well in the processes of evaluating the opportunities and doing the necessary engineering work to be able to ultimately sanction those opportunities.
Matt Taylor: Great. Thanks for that. And then I wanted to touch on your comments about propane strengthening significantly. My understanding is liquidity is quite weak in Alberta, and you hedge most of that against your U.S. benchmarks. But do you have any broader comments about how you are positioning the business to take advantage of better long-term pricing and whether that will materially impact with your results going forward?
Jamie Urquhart: Yes. Well, a couple of comments is that I think as we noted, the inventory of propane in North America is at lower than usual levels. And in order for propane to be incented to be put into storage that ultimately will serve what we anticipate will be the winter demand. We're going to have to see an increase in pricing in the forwards. Otherwise, those barrels are going to find their way into the export market. So, just from a fundamentals perspective, we're very bullish, and that's one of the primary reason why we believe propane prices will have to strengthen between now and the fall and winter demand season. Now, prices are already very strong, and that's driven primarily off of some supply dynamics, but also more so on the global demand for that product. So, as we've shared with people before, we have the assets in place, whether it's storage and/or logistically to be able to hit the highest value markets through North America -- throughout North America, when those higher prices ultimately materialize. And we're using our risk management program to basically lock in those margins when we see that those differentials materialize. And the last one I'd make it obviously the strong pricing for propane supports our producers. That is going to allow them to see the economics of drilling more wells and also sees the value of our deeper cut value proposition in our gathering processing business.
Matt Taylor: Thanks for that Jamie. Okay. Just a follow-up to that, is that -- those positive fundamentals, is that reflected in your revised commentary now that you're looking at the top end of your marketing guidance?
Jamie Urquhart: It would be, Matt. 
Matt Taylor: Great. Thanks. That’s all for me.
Operator: Thank you. Your next question comes from Rob Hope with Scotiabank. Please go ahead.
Rob Hope: Morning everyone. And I guess first off, Brad, all the best in the new endeavors and congrats.
Bradley Lock: Thank you.
Rob Hope: And then maybe just turning the attention to the kind of go-forward outlook here. Volumes are increasing nicely offset by some kind of heat-related weakness in June. But how are your conversations progressing with customers regarding -- potentially to add some contracted volumes on your northern plants or even your southern plants? And I guess then a follow-on would be kind of how are conversations going on KAPS for additional contracts?
Bradley Lock: Okay. So, I'll start with the first question. The fundamentals are really starting to translate into increased drilling activity that we expect to see positive continued momentum into Q3 and into Q4 for the remainder of the year. From a contracting perspective, typically we wouldn't see longer term contracts unless we were looking to spend capital. So, we're just talking to existing customers around our facilities that ultimately are giving us positive indications on increasing utilization in our Gathering and Processing facilities, specifically the south, but also around our Simonette gas plant as well in the north. Wapiti and Pipestone are contracted primarily to existing producers that similarly are drilling actively, and we're starting to see some positive increase in volumes there. As it pertains to KAPS, I think we've talked about this probably on the previous conference call is that as we get into the construction in full force on that facility or that opportunity and ultimately give line of sight to being able to be complete in Q1 2023, which is certainly still our expectation, we expect that we're going to be able to increase the contracting. But at this point, customers are waiting to see how we're progressing on construction. The one thing I would note is our existing producers, we're certainly very encouraged with respect to their ability to meet their or exceed their contracted volumes on KAPS. And some of those customers have step-up rates of which we're obviously talking to them about the potential for those step-up rates. But similarly, like any option, they're being patient with respect to when they might want to exercise those step-up rates.
Dean Setoguchi: Hey Rob, it's Dean. Maybe I'd just add a few other comments. I mean, quite frankly, six months into the year, we were sort of surprised that maybe how fast activity rebounded. I mean if you look at drilling activity, you're back to sort of five-year norms. But overall, I mean, obviously, balance sheets are improving very quickly. And as you would know, a lot of the producers have hedged volumes. But those hedge volumes, especially in the first quarter and second quarter were hedged at low values because they would have put those positions in in 2020. As every quarter rolls off, so again to Q3, Q4 and into 2022, those hedge floors are at much higher levels. So, again, I think their ability and actually capturing the economics of the pricing environment that we're seeing today, that's going to be more fully realized as we go forward. So, again, generally, the feedback we received from our customers is that they are going to ramp up activity in a bigger way as we look forward towards the end of the year and into 2022. Maybe other comment would be is that I think in some of the M&A activity that we've seen over the last six to nine months is probably helping us because there's some players that weren't very active in some of the areas that we have facilities. And again, under new ownership, better capitalized companies, they are demonstrating that they're going to be more active. So, again, overall, I think that's a good tailwind for us.
Rob Hope: All right, excellent. Appreciate the color. I'll hop back in queue.
Dean Setoguchi: Thanks Rob.
Operator: Thank you. Your next question comes from Linda Ezergailis with TD Bank. Please go ahead.
Linda Ezergailis: Thank you. First of all, I wanted to congratulate Brad Lock on a successful career and wish him all the best.
Bradley Lock: Thank you, Linda.
Linda Ezergailis: Thank you. I'm wondering as it relates to your Gathering and Processing optimization strategy, you're starting -- you've realized benefits already in the first half of this year. I'm wondering how that might ramp up for the balance of the year in Q3 and Q4? And what factors might determine where in the $20 million to $30 million range that Keyera achieves in 2021 and might it ramp up further potentially if you only achieve at the lower end this year, might you achieve even more in 2022?
Eileen Marikar: Its Eileen. I can start with that. I think we have certainly started to see the benefit in the first half of the year. It does take time for some of those operating costs as we continue to shut down plants to see those come out of the system. So, we expect that to continue, and we have a final plan yet to close in 2022. There will, of course, be some offsets. These are costs that are well within our control that we're -- we have reduced. But there will be some offsets such as power, I would say, that can offset some of that. But we are all well within that range.
Bradley Lock: This is Brad. The only other thing I would say is I think the optimism we're seeing out there in volumes is certainly a positive tailwind as well. So, our strategy was to get our cash -- our cost structure in place, but to still provide opportunity for growth volumes to land within our network. And I think we're starting to see some of that occur, and we're optimistic that that's going to continue to occur in the back half of this year, to 2022, that will allow us to hit the kind of objectives that we've laid out.
Linda Ezergailis: Thank you. And on a separate note, I'm just wondering as it relates to working towards a lower carbon future. We're starting to see some partnerships announced and also some positioning in terms of different parts of the value chain as it relates to carbon capture, hydrogen, et cetera. I'm wondering how you think about the levers to accelerate that transition as it relates to potential acquisitions or divestitures or partnerships, how do you think about your in-house competencies versus how you might look for other ways to position yourself for those opportunities?
Dean Setoguchi: Hi Linda, it's Dean. Very good question. Obviously, we think that we're very well-positioned for a lower carbon future. And it's something that we have a dedicated team, our new ventures team is headed up by Bradley Slessor. And really, they're looking at new opportunities to help us transition in the future. As you know, we have a lot of partnerships. So, we're not shy about sort of leveraging our strengths and combining that with strengths of other partners to create a better result. When we think about this from a macro perspective, I think that we need to be thinking more about how do we make our basin more efficient to create solutions like this and working together to make that happen because I think if we all try to solve, again, carbon transition or a lower carbon future by ourselves, it won't be as efficient as if we try to do it together. So, we've talked a bit before about some of the assets that we have to leverage. And we have asset gas injection at six facilities already. So, can we leverage that to actually capture and store more carbon using existing facilities and things like that, we were definitely looking at. We have our 1,300 acres of land in industrial heartland that -- and a pipeline that's rated for hydrogen that basically extends through the industrial heartland as well. So, we do have some assets and expertise to bring to the table to help enable, again, hydrogen development. But again, we are certainly open to working with others that are more experienced in that space, again, leverage combined expertise to make it successful. But at the end of the day, with all these ideas, we certainly know the world is moving in this direction. It also has to be profitable for our shareholders. So, again, we're also working with the end consumers in the future to try to underpin that service. So, we're trying to work with different partners at the same time I guess to try to advance these ideas.
Linda Ezergailis: Thank you. I'll jump back in the queue.
Dean Setoguchi: Thanks Linda.
Operator: Thank you. Your next question comes from Ben Pham with BMO. Go ahead.
Ben Pham: Hi thanks. I want to continue on energy transition. You talked about asset gas injection, you talk about hydrogen and also some of the residual power purchases. What about the CCS opportunity in Alberta? Is there any positioning from your perspective that you could benefit directly or indirectly from that?
Dean Setoguchi: The benefit from -- what was that again, Ben?
Ben Pham: It's the carbon capture storage opportunity in Alberta.
Dean Setoguchi: Yes, I mean, I'll start. I think certainly, as we look at decarbonization in the Edmonton Fort Saskatchewan hub and some of the existing infrastructure that's there and new infrastructure that's been proposed, I think there's lots of opportunity for us to participate both on an equity perspective, but also just from a service perspective to help decarbonize our existing facilities and support other producers in the area with their decarbonizing efforts as well. And I think as we are still thinking about our new ventures team that Jamie referred to earlier, it's certainly one of their -- their key objective is to look at all the various opportunities that exist out there to transition as an organization and to support industry transition and try to find the places where we can play.
Ben Pham: Okay. And then maybe on the growth initiatives, last week we've seen frac capacity reach peak levels. You were commenting on potential expansions and on the fractionalization side. Are you -- just something that's picking up a bit more in your conversations?
Dean Setoguchi: Well, it's obviously something, Ben, that we're looking at. There's lots of things since our last conference call that go into the dynamics of the demand for frac and ultimately where barrels are going to -- existing barrels will be placed in frac and ultimately, future barrels as well. So, those are all the dynamics that we looked at. At the end of the day, KAPS is an extremely strategic project for us. And it's going to supply barrels into the Fort Saskatchewan area and into our facilities that we believe will enable us to be able to look at downstream capital investment opportunities that will be very accretive and beneficial to our shareholders, whether that's on the condensate side or the C3+ side of KAPS. So, yes, it's definitely something that we're looking at and believe that once we get line of sight to those barrels showing up, we'll be able to take advantage of that.
Ben Pham: Okay. And maybe my last question, do you think you have enough visibility of line of sight of moving towards guidance on EBITDA on a more of a broader level of your asset base? If you get the marketing guidance, which is probably the hardest one to figure out, you have gas processing stabilizing, cost optimization, liquid infrastructure, take-or-pay, is that -- is that also the long-term plan for you to consider that in the future?
Eileen Marikar: Hi Ben, it is something that we are considering. You're absolutely right. Marketing is the biggest piece. Sometimes the timing of that, we don't know that until our contract season is underway or completed. So, that's why we provide that in Q1. But that is something that we are considering and looking at, especially as we have better line of sight into the Gathering and Processing business, and it continues to stabilize.
Ben Pham: Okay, great. And also congratulations for your retirement, Brad.
Bradley Lock: Thank you, Ben.
Operator: Thank you. Your next question comes from Robert Catellier with CIBC. Please go ahead.
Robert Catellier: Hey, I just wondered if you had some initial thoughts on the Blueberry River First Nations case and what that might be for future development?
Dean Setoguchi: Yes. Rob, good morning. Yes, obviously, we're very aware of the decision, and we've reviewed it. We've talked to our customers about it and consistent with them and other stakeholders, we're awaiting the outcome of the negotiations between the Blueberry River First Nations and the BC government to assess potential impacts. But really overall it -- to us, it underscores importance of having strong relationships with all of our stakeholders. And obviously, that includes indigenous community. And we're -- it's something we're very committed to.
Robert Catellier: Okay. And then it looks like Brookfield is closing in on buying into pipeline here. So, do you see any opportunities for Keyera falling out of that, perhaps opportunities to work more closely with Brookfield?
Dean Setoguchi: Well, like to my earlier comments, Rob, I mean, obviously, we're always opportunity-driven, and we work well with others, and that would apply to everyone, including Brookfield. So, if there's opportunities to work with them, assuming that they take up the required amount of shares, we'll certainly pursue that opportunity. 
Robert Catellier: Okay. Last question for me. You had some comments on the MD&A about some condensate contract renewals. I wondered if you could talk about the relative commercial terms there? I understand there are some volume increases and some extensions, but just the relative economics? And any comment on what the expiration schedule looks like from here?
Dean Setoguchi: Yes, Robert. All I can share is that those contracts would have been negotiated on similar terms and traditional length of contracts that we would have seen in the past.
Robert Catellier: Okay. And with that, I'll just congratulate Brad on his retirement.
Bradley Lock: Thank you, Rob.
Operator: Thank you. Your next question comes from Robert Kwan with RBC. Please go ahead.
Robert Kwan: Hey good morning. If I can kind of come back to the questioning here, just around the targeting -- the way you look at your asset mix and your contracted mix. And I guess the first question here is, you've said in the past that you don't want to get any bigger in G&P and really trying to focus on more take-or-pay streams. Is that still the case, particularly given just the comments you've been making around producer activity in your drilling outlook?
Dean Setoguchi: I would say -- I would characterize it, Robert, as we want to fully utilize our G&P assets to the best of our ability and into their capacity. So, we think that there's more growth there. And so we think that that's going to be a larger contributor in the future to our company. In terms of capital investment in the future, we see better opportunities on our liquids infrastructure outside of our business. And historically, we've generated strong returns from it. And again, they're more basin type assets where it doesn't matter where the natural gas is produced. The NGL stuff to find the way to the hub, and a lot of that hub is obviously in Fort Saskatchewan. So, it's not to say we won't be making -- there's probably a lot of small enhancements and things like that, that can generate strong returns. But again, our focus is going to be about maximizing what we have.
Robert Kwan: And just as you talked about larger capital, does that -- or that presumably, that also applies to acquisitions in the G&P side or--?
Dean Setoguchi: Yes, generally, I mean -- yes. I mean, I'd say our M&A strategy is that it has to be strategic. It's got to be accretive. So, we're trying to always add value for our shareholders. So, it's got to be accretive on a per share basis. We have to be consistent with our debt and metrics and credit rating targets. So, when we think about all those strategic fits, could there be G&P assets? It's possible. But right now, we see the best opportunities in the liquid side of our business.
Robert Kwan: Got it. And as I think about contracting mix and on acquisitions, just coming back to the Brookfield discussion, given what they said today about potentially splitting up some of those assets, would you be interested, though? How do you think -- well, I guess how do you think about IPL's NGL assets given a very significant proportion of them have commodity exposure? So, how do you think about your own marketing exposure in the mix? And then potentially, whether it's -- these are just other assets, taking on even more commodity exposure?
Dean Setoguchi: Yes, I mean, I guess I can't speak specifically to IPL. But generally, our goal is to add more contracted cash flow stream. And I guess when you look at projects like KAPS, that's exactly what it's going to deliver, is just a very strong cash flow stream, and a lot of the other assets that we look at as well. The one thing I would say, though, is in terms of our overall asset mix is that sometimes we have outsized years in our marketing business, and we're not going to turn it away. I mean, obviously, that enhances our overall financial position in funds and other projects. We don't count on it, but it's possible that it happens. Sometimes from an optical perspective, it looks like we're too weighted to our marketing business. But again, overall, if you look at just the peer growth in our fee-for-service business, we want to continue to grow that part of it.
Robert Kwan: Perfect. If I can just finish with the micro question here on G&P looking into the third quarter. So you've highlighted a couple of headwinds in the ethane curtailments at Rimbey, and I think it's about $5 million, somewhat similar impact on the Wapiti outage from a margin perspective. Are there other kind of either offsetting factors to those amounts? And I guess the other thing, just as I think about the Q2 performance, what was the benefit, if any, from some of the volumes you received related to third-party plant outages in the quarter?
Dean Setoguchi: Yes, I'm racking my brain, Robert. So, let me think. But I'm not aware that we would have benefited at all in Q2 from any third-party outages. I guess there was one -- Brad remind me, there was one up in the north where we would have seen some minor volumes from a large facility outage. But other than that, there wasn't a lot of uptick on our business as a result of third parties. To answer your first question though, is that, yes, we're -- obviously, the Dow outage is going to impact all of the industry. But we also see some opportunities coming out of that as well from perspective of a need to manage some liquids that otherwise might be displaced somewhere else. So, it might show up in a different part of our business, but there is some opportunities because of our integrated business that we'll be able to realize as a result of that outage, as it pertains to some of our assets around Fort Saskatchewan in our marketing business. Around G&P, I think we're just being repetitive with respect to the fact that we're continuing to see positive volume momentum that we'll see in Q3.
Jamie Urquhart: Yes. The only sort of headwind that we see that we don't think are material, Robert, would be -- and obviously, we've had some issues in terms of high ambient temperatures, and that affects the performance of our facilities. So, we saw that more so at the end of June and early July. But again, I wouldn't say that that would be super significant. And I think we're into August now. So, hopefully, we don't see sort of 35-plus days -- 35-plus degree days in the future. And that and just our downtime associated with the waste heat recovery bundle that we talked about.
Robert Kwan: Perfect. Okay. Thanks for the answers. It's all for me. And Brad, congrats and all the best in retirement.
Bradley Lock: Thank you, Rob.
Operator: Thank you. There are no further questions at this time. Mr. Cuthbertson, you may proceed. 
Dan Cuthbertson: Thank you all once again for joining us today. Please feel free to reach out to the Investor Relations team if you have any additional questions. Thank you all and have a great day. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.